Operator: Good afternoon, ladies and gentlemen. And welcome to the OceanaGold 2021 Second Quarter Results Webcast and Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct the question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, July 29 at 5:30 p.m. eastern time. I would now like to turn the conference over to Allysa Howell. Please go ahead. 
Allysa Howell: Good evening, and good morning. Welcome to Oceanagold's second quarter 2021 results webcast and conference call. I am Allysa Howell, Investor Relations Manager for Oceanagold. I am joined today by Michael Holmes, President and Chief Executive Officer, Oceana Gold; along with Scott McQueen, Chief Financial Officer; and other members of the executive team, including but not limited to David Londono, EGM of Haile; Craig Feebrey, our Executive Vice President of Exploration and Development; and Sharon Flynn, our Executive Vice President of Sustainability. Before we proceed, note that the references in this presentation adhere to international financial reporting standards, and all financial figures are denominated in US dollars unless otherwise stated. Also, note that the presentation contains forward-looking statements which by their very nature are subject to some degree of uncertainty. There can be no assurances that our forward-looking statements will prove to be accurate as future results and events could differ materially. I refer you to the disclaimers on forward-looking statements on the final slide of our presentation. Michael, over to you.
Michael Holmes: Thank you, Allysa, and good evening, good morning to all. It's a pleasure to be here with you today, especially post our most recent years. The renewal of the Didipio FTAA, which is the first FTAA reviewed in the country, of which we are very grateful to the government of the Philippines for their support through the process. This is an exciting development for us, and we are looking forward to recommencing the operations, which I will discuss during the presentation. We delivered our third consecutive quarter of improved profitability on the back of record gold sales from Haile, robust average gold prices and notably improved margins. We are delivering on our commitments. It was a particularly strong second quarter at Haile. The operation sold 59,000 ounces of gold and over 104,000 ounces of gold through the first half and only sustaining cost of $953 per ounce, putting us well within range of its full-year guidance. Haile's record performance was partially offset by lower sales from Macraes, which delivered a lower-than-expected first half performance, due to an extended mill shutdown and mining limitations. With these disruptions largely resolved, we expect a strong second half from the price. At Waihi, we recommenced sustained milling and bought Martha Underground production online. We continue to advance our exciting organic growth projects. Total capital investments during the quarter were approximately $95 million. We're focused on growth, including the Martha Underground and Golden Point Underground development and the Haile PAG waste rock storage expansion and TSF lift. We ended the first half with $142 million in immediate available liquidity and have ensured our ability to continue to progress our organic growth projects on optimal timelines. Delivering on our commitments into core value for OceanaGold and the renewal of the Didipio FTAA has been a key strategic objective for OceanaGold, since the operations were suspended in mid-2019. Subsequent to the second quarter end, I am proud to share that we delivered on this commitment the country's first FTAA has been renewed by the Philippine national government, and is a testament to our team's tremendous effort, and a strong endorsement from both the community and the government. The mine is expected to be a significant source of free cash flow moving forward. Once the Didipio reaches full operations it is expected to produce approximately 10,000 gold ounces and 1,000 tonnes of copper monthly at first quartile all in sustaining costs. Under the revised terms, the net revenue share remains 60% Philippine national government and 40% OceanaGold. The amendments to the terms primarily focus on determining additional benefits to local stakeholders, which is consistent with Didipio's legacy as a significant socioeconomic contributor. With the renewal in hand, our attention has immediately turned to the rehire and training of our world-class Philippine workforce, which is a key catalyst to the operation achieving full production within the next 12 months. We expect to add over 700 employees to the existing operational standby team by year-end. Processing is expected to commence – recommence in the fourth quarter, which is with initial fee from the 19 million tonnes of stockpile grading at 0.5 grams per tonne gold and 0.5% copper. Within the next 12 months, we will reestablish our underground mining rate to 1.6 million tonnes per annum, which will supplement the ore stockpile feed into the processing plant. The transport and sale of existing copper concentrate is expected to begin late in the third quarter. The 15,000 tonnes of copper-gold concentrate, includes approximately 18,500 ounces of gold and 3,500 tonnes of copper. We look forward to Didipio's contribution to our portfolio over the long term. Moving on to slide 5, and responsible mining is fundamental to the way we do business and the health and safety of our workforce is a top priority. We are pleased to see improved safety performance in the second quarter with the total recordable injury frequency rate trending lower to 3.7 versus 3.9 in the quarter one as we continue to drive proactive health and safety initiatives across our organization. The COVID-19 pandemic remains a pressing issue globally especially as variants of the virus continue to emerge. Our strict health and safety protocols kept our workforce safe while on site and we will continue to use these stringent safeguards for the remainder of the year. Turning to ESG. Last month, we launched our independently verified 2020 sustainability report. The report highlights the significant progress made in a number of areas, including climate change, human resources, biodiversity, and steps towards compliance with the World Gold Council's responsible gold mining principles. Notably, we joined our peers by taking immediate climate actions with the release of a new statement of position on climate change that sets a net zero operational greenhouse emissions goal by 2050. Also, as part of our journey to understand climate change risks, we commenced and reported on our first assessment of Scope three emissions. This year, we are building on 2020 achievements and advancing key initiatives that keeps us at the forefront of best practice globally.  We are developing work plans and targets related to the very pressing global issue of climate change. And this includes our commitment to provide 2030 climate change reduction targets in line with the task force on climate-related financial disclosures by the end of 2021. We are assessing how we respect and protect human rights across our operations in the Philippines, New Zealand and the United States. These assessments will be finalized and reported on at our year-end at the end of this year. We are implementing our biodiversity standard across the portfolio. And in 2021 operations will establish biodiversity baselines and management approaches that commit to No Net Loss in areas of natural habitat and Net Gain in areas with critical habitat. We will also continue to progress towards the goal of 100% compliance of the World Gold Council's responsible gold mining principles by the end of 2022. Our overall, ESG performance has been recognized by the major ESG rating agencies and we most recently maintained our A-rating with the MSCI and Outperformer ranking with Sustainalytics putting us among the elite ESG performers in the mining industry. I will now turn it over to Scott McQueen our Financial Officer who will review our second quarter financial results. 
Scott McQueen: Thank you, Michael and hello everyone. The next few slides summarize the key elements of our second quarter and year-to-date financial results. I'm pleased to report that the second quarter includes a third consecutive quarter of improved profitability for the company. The quarter-on-quarter as well as year-on-year improvement in profitability, reflects higher gold sales volumes led by a record second quarter sales of 59,000 ounces at Haile higher period-on-period realized gold prices. While not material in absolute terms it is also notable that the current quarter benefited from incremental sales from Waihi as the Martha Underground commenced continuous production in June as planned. We now look forward to many more years of operations and opportunities at Waihi. As Martha gold sales were slightly down quarter-on-quarter which was lower than expected and reflected the impact of additional unplanned milling downtime and mining constraints, but we do look forward to a stronger second half at Macraes. You see from the table that the first half EBITDA was $152 million has nearly tripled over the same period last year and is up 45% quarter-on-quarter. As noted this is the third consecutive quarter of improved profitability and margins with adjusted net earnings for the second quarter coming in at $36.9 million or $0.05 per share fully diluted. For the year-to-date adjusted net earnings per share equated to $0.08. Moving to operating cash flow. We did see a decrease to $35.8 million, despite the improved profitability. The decrease being timing related reflecting the physical deliveries into the gold presale arrangement for which we received proceeds in Q3 2020 at $1920 per ounce. During the quarter, we delivered just over 31000 ounces or around $60 million of revenue under the presale contracts. The 409,000 ounces to fully close out these agreements will be delivered today. On an adjusted basis excluding working capital movements which is consistent with how it's been reported in prior periods adjusted operating cash flow equated to $0.13 per share fully diluted for the quarter, bringing year-to-date cash flow share to $0.22. Investing cash flow increased to $80.9 million in the second quarter bringing our year-to-date total investments to $152.8 million. This related to plans of developments and the rate of investment is expected to reduce somewhat into the second half. Bulk of the year-to-date investments relates to the major key projects well underway or nearing completion including Haile waste storage expansions; and the Haile Underground early surface works; continued Martha Underground development with the mine now producing; Golden Point underground development where production is expected to commence in the fourth quarter; and ongoing exploration especially at high-value targets in the Waihi district. Financing cash flows consisted primarily of finance leases with no drawdowns on debt facilities during the quarter. Moving to Slide 7. As of June 30, our cash balance stood at $92.3 million with total available liquidity of $142 million. Total net debt stood at $224.8 million. The reduction in our cash balance quarter-on-quarter represents expenditure on planned investments into our key organic growth projects as we had planned for these and we continue to actively monitor and manage liquidity as we move through the peak growth investment period this year. And we now also plan to ramp Didipio back into full operation. While the liquidity outlook is sound at these toll prices and we had prepared to continue our growth irrespective of the timing of the Didipio restart with ramp-up now commencing we took a proactive prudent and low-cost step to further enhance short-term liquidity headroom and increased flexibility by establishing a $30 million working capital facility with Scotiabank. This short-term facility forms part of the total permitted indebtedness under the company's existing credit facilities and the existing security package. While we don't anticipate growing this facility and we expect the sale of concentrate stock and the restart of Didipio to contribute significantly to our free cash flow this year and beyond, we remain focused on ensuring all risks are manage proactively and cost effectively and our key high-value growth projects can be delivered on the optimal time line as they enter their later phases. Turning to Slide 8 which includes a bit more detail on the capital investments. As mentioned, our 2021 capital investment program is focused on advancing our organic growth projects into production. Second quarter capital investments were approximately $95 million. Of this just over half was growth including $28 million at Haile and the additional Haile Underground works, $17 million at Waihi and the development of Martha and the process plant upgrades that facilitate the recommencement of production and $4 million were accreted to the development at Golden Point Underground. Exploration spend totaled $6.4 million with the majority related to the ongoing definition and expansion drilling at and around Waihi. The total also includes resource conversion at the proposed underground stopes and extensional drilling at Golden Point Underground. Sustaining capital expenditure doubled quarter-on-quarter and largely related to capitalized mining costs with $16 million in pre-stripping at Haile and $14 million at Macraes related to pre-stripping at Deepdell North, open pit and underground development to access a new panel identified at Frasers Underground. Due to higher mining costs earlier in the year at Haile and changes in mining sequence and activities at Macreas, we now expect a higher proportion of our mining cost to be capitalized across the full year and had updated our pre-strip and capitalized mining guidance accordingly. The projects are moving ahead strongly. As noted, Martha Underground commenced production late in the quarter as planned and on budget and Golden Point Underground is expected to commence by year end. Haile Underground is moving forward with surface infrastructure progressing with commencement of underground development ready to progress post finalization at the SEIS. Based on the first half progress, updated timings at Haile and ongoing capital reviews, we have reduced our full-year investment expectations somewhat between $275 million to $295 million despite the increased allocation to capitalized mining costs. Now, I'll turn the presentation back over to Michael, who will provide details on operational performance during the quarter.
Michael Holmes: Thank you, Scott. And moving on to slide 9. Haile delivered a record second quarter and best-ever first half, producing over 100,000 gold ounces through the mid-year, a doubling over the prior-year period. Total gold production of 57,000 ounces in the second quarter increased approximately 30% at the quarter one, as we moved into the higher-grade ore zones in North in Snake Phase 2. Mill feed increased 24% quarter-on-quarter with resolution of the quarter one outages and along with improved recoveries benefited overall production. Mining unit costs of $2.60 per ton decreased quarter-on-quarter, but increased nearly 10% over the prior year due to higher fleet maintenance costs. Milling unit costs also showed improvement quarter-on-quarter but increased over the prior year to-date due to first quarter outages. All-in sustaining costs fell well below $1,000 per ounce sold in the second quarter and year-to-date, reflecting high gold sales from improved rates at lower overall cash costs. These benefits were partly offset by the higher than planned pre-stripping capital expenditures in the second quarter. Given the outstanding results year-to-date, we refined our expectations for the full year at Haile and now expect 160,000 to 170,000 gold ounces of production, which is in the upper range of the original guidance. All-in sustaining costs and cash costs have also been revised to just above the original guided ranges, now expected to be $1,100 to $1,150 and $850 to $900 per ounce sold respectively. Total capital expenditures at Haile for the year are estimated at $135 million to $145 million, which is moderately lower than original expectations, lower growth capital spend has been partly offset by increased pre-stripping related to Mill Zone Phase 2 development and Ledbetter Phase 1 development. Portal development for the Haile Underground is expected to commence with the receipt of the supplementary environmental impact statement, originally expected by mid-year. The SEIS will allow continued development of the existing Haile footprint expansion of the TSF and PAG cells and full development of the Haile Underground. Engagement with the US Army Corps Engineers in the South Carolina Department of Health and Environment Control, remains positive and ongoing as the company responds to inquiries received post-release of the draft SEIS. We anticipate the record of decision and final permit in the fourth quarter of this year. Turning to slide 10. Though we are pleased with the record performance in the first half of the year from Haile, we also recognize we have significant opportunities for improvement that can make this a world-class asset. Recently we advised that the commencement of a site-wide technical review of Haile, with oversight from our technical committee. We are currently assessing the physical performance and reviewing constraints in terms of both mining and milling. Through the diagnose phase, we are building off our current improvements and identifying further bottlenecks and practices that can be improved. This process is intended to identify and prioritize opportunities to derisk the asset and potentially deliver additional value. We will identify and implement these initiatives that are going to deliver productivity in unit cost improvements and thus more value long-term. In the short-term program, we are reviewing plant availabilities, reliability, utilization and ultimately throughput. We're reviewing mining productivities in areas of drilling blast, waste and water management and mining selectivity, which is looking at bench height and dilution as well as equipment availability and utilization. And for example, based on industry standard benchmarking, all considered within the context of site-specific constraints, we are of the view that the mining cost of $2.20 per ton or less, are achievable over the life of mine. And as such, we are taking action to arrest escalation and deliver reduced unit costs. Over the long-term time frame of the operation, water and waste management are also a primary area of focus. Construction of waste storage facilities, and in some cases re-handling the waste rock to accommodate potentially asset-generating material, is over the life of mine and is capital intensive. We are currently working with regulators in the site to mitigate the need for additional pay waste storage capacity. Water management is also an area of focus including excess water pumpage, storage, water pumping for storage purposes and the management of in-pit and on-site water, including road preparation for wet weather and draining strategies. We will also assess capital allocation methodology at the site, ensuring we are advancing the highest value projects for the site and within the context of the company's total portfolio. This includes mine trade-off studies where we are reviewing the potential to convert future open pit push-backs with higher strip ratios to underground mining at higher cutoff grades. As you can see, there are opportunities for significant improvements at Haile, and we are determined to realize this. We are pleased to welcome our new Executive General Manager, David Londono to site earlier this month. David joins us from Kirkland Lake, where he was Vice President of Projects; and prior as GM in Detour Lake Gold mines. He brings decades of technical and operational experience and a contagious enthusiasm for changes to come at Haile. We expect to share more details of a site-wide technical review as we move into the solution identification implementation phases at the coming months, and provide comprehensive updated findings post year end. Moving on to New Zealand. Macraes second quarter gold production of approximately 32,000 ounces of gold was limited by geotechnical constraints and extended mill downtime. As a result, mining activities remained focused on waste movements including pre-stripping activities at the new Deepdell North, open pit and production year-to-date of 67,000 ounces of gold was lower than expected. During the second quarter, the operation completed the planned rebricking of the autoclave, installed the refurbished SAG Mill motor and completed additional out-of-scope maintenance activities that resulted in a five-day delay to restart. In addition, pit wall movement in Coronation North, resulted in delayed mining of the high-grade ore. These factors resulted in the lower-than-expected production during the quarter. With the mill issues resolved and to full capacity and the geotechnical risks being managed by the team, Macraes is confident that the strongest second half is on track to deliver into the lower end of full year guidance. However, as a result of these factors, the company is forecasting a consequently higher all-in sustaining costs and cash costs due to changes in the mine segments. As you can see the picture in the lower point of the slide, Golden Point Underground development continues to progress with deliveries of new equipment arriving on-site during the second quarter. First, production is on track for quarter four this year from Golden Point. Moving on to Slide 11. Waihi produced just over 3,000 ounces late in the second quarter, taking year-to-date production to just over 8,000 gold ounces. Sustained milling recommenced in late quarter two after a seven-week shutdown at the plan to upgrade the SAG mill and complete general maintenance. We continue to expect Waihi to deliver 35,000 to 45,000 ounces of gold production this year and improved all-in sustaining costs and cash costs. Ramp-up of gold production will continue and we are targeting a production rate of 90,000 to 100,000 gold ounces per year from the project over the next few years. We continue to believe that Waihi North project, which includes Wharekirauponga, represents the greatest stable opportunity within our portfolio. Drilling continues at Wharekirauponga, including resource conversion drilling on the Eastern Graben Vein and a significant step out on the southwestern stripe extent at the main structure. Weather conditions improved in June and provided the necessary water levels to support continuous down-end drilling. We currently expect to deliver an updated prefeasibility study in early 2022 and further define the potential of this high quality asset. Moving to Slide 12. We consider Didipio, an integral part of our portfolio and its restart is a key focus for us for the remainder of the year. Activities for the restart are progressing to plan. Our initial process is securing all the standard operating permits to ensure uninterrupted supply chains and sustainable operations. This includes discussions with the local government groups evidencing the document detailing the startup plans we have developed. This is a critical process and we want to ensure that we get it right. Concurrently, the recruitment, rehire and training of our workforce is underway. To date, approximately 230 or one-third of job vacancies have been posted. And following a two-week notice period we will be in the position to start filling these roles. The interest in these positions has been overwhelming so far. We are also progressing the rehiring of critical roles including the operational management positions and this is tracking as planned. I will refer you to the timeline in our presentation, which provides a detailed overview of our restart plan over the next 12 months. We expect to restart the process plan in the fourth quarter and this timeline is driven by the required maintenance and recommissioning activities to reinstate, reinstall and retest all the equipment. Critical personnel and spare part components are expected to be on-site by August month end to commence the restart process and functions that can be restarted now are well underway. Processing of the existing stockpiles is expected to be supplemented by ore from underground with the commencement of the underground development and production, currently expected in early October. The underground will commence once we complete the onboarding and retraining of our personnel, as well as implement reentry protocols required to ensure a safe restart. The ramp-up will be over several months as we recommence the development and stope extraction sequence. COVID-19 remains a significant risk in the Philippines and especially at Didipio, given the camp accommodations. Early in the second quarter, the total number of positive COVID cases increased to 63 in line with local trends and has since decreased in June and July. The Didipio mine has existing COVID-19 management protocols, which were developed with reference and alignment to the national and international guidelines. These protocols include testing and screening before mobilization, each and entry into the operation, precautionary isolation measures, regular testing and screening of the workforce and testing capability and capacity with efficient turnaround of results. The renewal of the FTAA and the restart of Didipio has been a key initiative for us and we look forward to bringing the operation online and our valued Philippine workforce back to site. Now looking to the future. Our key initiatives for 2021 are unchanged. However with notable progress in most areas. Excellence in ESG and a commitment to responsible mining remains fundamental to the way we do business. We delivered our 2020 sustainability report, reporting on key initiatives like carbon emissions that put us at the forefront of best practice amongst our peers. Delivering on our commitments is a core value for OceanaGold. And for us that means achieving our 2021 guidance, which is successfully building on organic growth. As of the end of the first half, we remain on track to achieve both of these measures. Achieving our robust organic growth projects is key to delivering shareholder value and we're doing so in two geopolitically stable jurisdictions New Zealand and the United States. And the safe restart of Didipio remains a significant near-term catalyst for the company. With the renewal in hand and the restart underway, we look forward to achieving full operations over the next 12 months and contributing to the Philippines COVID-19 economic recovery. In summary, we're focused on bringing organic growth online and restarting Didipio, which we believe is critical to creating shareholder value. OceanaGold is a resilient and dynamic gold miner with a strong and sustainable future. And with the restart of Didipio operations, we believe that that future is even brighter as we realize growth potential that is all our own. Thank you for joining us today. And I will now turn over the call – I will now turn the call back over to the operator for questions-and-answers. Thank you.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Ovais Habib from Scotiabank. Please go ahead.
Ovais Habib: Thanks, operator. Hi, Michael and OceanaGold team. Congrats on a good quarter. Just a couple of questions from me. Just starting with – maybe David Londono can give us some color on his first 15 days with Oceana? And any comments, he can provide on, any kind of operational improvements like low hanging fruit improvements he sees out here?
Michael Holmes: Great. Well, thanks very much Ovais. And really good really good quarter as you said. I'm really happy to get Didipio online and David, over to you for our baptism of fire. Thank you.
David Londono: Thank you. Can hear me?
Ovais Habib: Yes, I can.
David Londono: Okay. So yes, so I've been there for a couple of weeks. And -- so one of the things that we're looking at as a win on the first three months or early in the game is going to be fragmentation. I assume to increase the fragmentation at the mine. We are going to be able to increase throughput to the mill. So I see that one as a win. We do have a little bit of difficulties with the drilling, so because obviously, we have to increase the drilling. So we're looking at to see how we are going to let's say optimize our win capacity outside. We see also waste management. So, I'm doing an optimization of the ways to see how can we better use the closest bumps to the mining areas. And that way we do the mining cost and increase our productivity and trajectories. Other options that we have with water management, you can see that water is a big issue here in South Carolina. So, we're looking into how we can put more water and discharge more water in the area. And so to get -- what we -- we get a lot of rain, particular with some of the -- to improve the open pits. So those are the things that I'm looking at the first three months.
Ovais Habib: Perfect David, really appreciate your comments. And looking forward to hearing additional color from you over the next couple of months. My second question just based on the first half production of around 177,000 ounces annual revised kind of guidance or tightening of guidance. The implied production for the second half is approximately about 180,000 to 185,000 ounces. And looks like, Q4 is shaping up to be your strongest quarter within the second half. Can you provide some color as to the percentage of production in Q3 versus Q4?
Michael Holmes: Thanks, Ovais. It's a bit of a shuffling of the chairs. And so, as we mentioned, Haile sort of production, as we previously discussed realizes in first half weighted. And then we'll see the ramping up of Waihi and a stronger quarter at Macraes. So, the quarter three, quarter four is fairly flat. Overall, when you sort of put them all in the mix and separate them out.
Ovais Habib: Okay. Perfect. And just -- did you already mention -- maybe I missed it, but when would we get revised guidance or when you're looking to release revised guidance including Didipio?
Michael Holmes: Yes look, we're working through the plans with regards to Didipio and we're ensuring there's a few activities that we need to do on the ground. And the first -- first, the notarization it's a bit of documentation that we have to sort of follow the documentation streaming through registration, getting the business the usual permits through the incubating region through presenting the documentation to the local government units. As I mentioned, we're sort of posting the notice of employment, notices on the Boards and then sort of waiting for two weeks until we can start rehiring. So, we're currently in this in the next couple of weeks, really just sort of finalizing to ensure that when we do open and start the operations, it's going to be sustainable and only productive. And so, once we get a little bit further over this understanding period. And then, I have the confidence with regards to bringing people back on in training with the backdrop of COVID, we'll sort of -- we'll be presenting an updated guidance for this year and for the next four years of Didipio. As I mentioned, we haven't changed on review with regards to what we sort of presented previously with regards to the 12-month ramp up and the stages of ramping up through the operation. But those will be working our hardest to try and beef those and ship those out of the water. So, for us, the new idea is to get the required permits, get all the materials. It has been on standby, which means that we basically have to rego through all recommission everything, as we go through all the pieces of equipment and to get that going. So, focuses for us is to ensure that we have the right paperwork, the right support, so once we start, we don't get interrupted, as well as focusing on getting the employees back, the equipment up and running and certainly focusing on getting the concentrate that's on site -- at on site as well.
Ovais Habib: Perfect. And that’s it from. So that’s to David as well as yourself, Michael.
Michael Holmes: Thanks very much, Ovais.
Operator: Your next question comes from Mike Parkin from National Bank. Mike, please go ahead.
Mike Parkin: Thanks guys for taking my questions. Just kind of going back to the previous update on Haile. Can you give us a bit more color, as to why you think there's a greater potential for -- potential acid generation of PAG material out of the pits and what your thought process is there to mitigate that in terms of a mine planer? It seems like you may be considering attacking some of the ore zones a little more from an underground basis versus an open pit.
Michael Holmes: Yes. Thanks, Mike. It's something that we've sort of been in dealing with regards to just the understanding of the boundaries. We've been between the green. There's three categories of waste material. We have the green waste the yellow PAG and the red PAG. The PAG has to go into constructed cells and the green waste can go in just in normal places. As we've sort of been mining it with some of the edge effects, we've identified that, there's additional PAG that we have been. And so, we're now going through the processes of working with the governments to identify a couple of things. One is the amount of additional PAG, the categories of the PAG, as well there's some material that has been categorized PAG that isn't acid generating. And so we believe that that can be coming into a different -- into the green waste category. And that's something that we're currently working with the regulators. And then just understanding the full amount of PAG material with regards to the model. As appreciated the storage of PAGs is -- it is a -- PAG is at a high cost and that's been -- in sort of having it at the late stages that we've got high strip ratios that brings into that sort of trade-off studies that we're looking at for, underground versus open pit. We're seeing the underground potential as a real opportunity for Haile, for -- not only the Haile, but the depth extension to the Haile underground. The ore body decided to hex the Haile extension as well as sort of the Palomino, the resource that we delivered on the 600,000 ounces of resource. We believe the 40% of the gold is in the top three levels there and there's a little opportunity to move forward with that. I mean, so if you -- you're sort of looking at those underground areas, then if you're on the way out to -- from Haile underground to Palomino, then you can certainly duck into maybe the bottom of Ledbetter or Snake, which has got the higher strip ratios. So these are things -- they're the trade-offs that we're looking at, at this point in time. And so that trade-off sort of gets you back into a high-grade ore. It looks at reduction of total amount of material to be mined from the open pit point of view and certainly, the reduction in PAG material as well. So there the -- that's the sort of longer-term programs that we're looking at. They aren't going to impact the short-term plan that we've got. There are more five-plus years down the track, but that's certainly something we're looking at to buy.
Mike Parkin: Okay. And then, just in terms of employee availability. I know back when you guys went into construction of Haile, the unemployment rates were pretty high in the region. Since then, you've seen quite a bit of competition for labor coming into the area. Can you give us an update in terms of how that's shaping up? What the turnover rate is like, if there's significant cost pressure on a workforce for Haile? I remember you were looking to pull people in from the Nevada region, which was showing some success in terms of interest. Just an update on kind of the labor pool and cost of it would be great.
Michael Holmes: Yes. Look, it is something that has been a focus area. And it's certainly one of the things that David is looking at. He is the talent management and how we sort of progress that going forward. We have taken the turnover rates down significantly since -- I think, if you remember a couple of years ago from around at 40% down to sort of 20s. We're trying to drive it down to double -- low double digits. The 20% is -- below 20% is still a proportion of company turnover as well as just employing turn-up. For us, it still remains a focus and it is something that we need to continue driving on and continue on improving. We are seeing some opportunities within the market, but it is getting tighter and tighter with -- through the COVID period, as you may remember, that we did go to an employment agency to supplement the workforce during the period of -- when people were -- had to be self-isolated. So we're utilizing sort of those opportunities. But it's still an ongoing focus for us, Mike.
Mike Parkin: Okay. Thanks very much. That’s it for me.
Operator: [Operator Instructions] Your next question comes from John Tumazos, an investor. Please go ahead.
John Tumazos: Thank you. Concerning the Didipio restart, the concentrate inventory looks like a $50 million to $60 million source of cash. And then when you start milling, you're going to be milling down these stockpiles or they've probably already been expensed for mining. So how much more would the cash from inventory liquidation be larger than the development capital for underground work, training and other costs to restart?
Scott McQueen: Thanks, John. Yes. The concentrate on hand has the significant value at current prices probably north of $60 million in fact. The restart on the lower grade materials, as Michael mentioned in the presentation, should be around Q4. We'll certainly be cash flow positive. So, yes, we'd expect very strong net cash flow generation and well in excess of what's required as start of the ramp-up process over the next six to 12 months, certainly.
John Tumazos: So was the $30 million extra credit line you negotiated earlier in the quarter before you had the good news about Didipio restart?
Michael Holmes: Yes. We've started that negotiation process, John, with the -- while the uncertainty still remained around the timeline in Didipio. Given the restart did take a little bit longer than we'd like, but we're happy that it's underway. And there is still unknown risk in the Philippines around COVID. That's probably particularly a risk around the transport of concentrate, given it's a 12 hour around trip to port through lots of communities. So, given we've gone down that path, we thought it was prudent and cost-effective just to continue and put it in place temporarily until we get the ramp-up underway. But we don't expect to use it. As I said, we expect the cash flow at repository coming out of Didipio.
John Tumazos: I saw Paul was named Chairman. We know him from SSR mining. I had three things that came to mind, forgive me if I'm a little bit mischeivous in my question. I was wondering if you're looking to merge with an asset in Turkey, or alternatively do a merger of equals? That's where two companies with a little hair on them get together, each one thinking the other will solve their problems and the CEOs get a change of control bonus and the bankers get fees, but the stocks don't always go up, or would you only sell-out for at least a 50% premium, given how much your production is going to rise in the next four years? Forgive me for being -- chasing you a little bit.
Michael Holmes: Look, I think, as a Chairman -- current Chairman, Ian Reid, his view and thought process is that, the chairman's role is never a life-long role and he believes that companies should be structured and led at the appropriate time by the appropriate knowledge. And Ian has led us through the whole Didipo FTAA renewal. So he basically got into the chair position when the boom came down and basically saw the successful renegotiation of Didipio. Ian has stood side, recognizing that now we're in a ramp-up growth phase at all our operations. We're in a consenting permitting phase at all operations. And he thought it was appropriate that someone with a good long-term mining knowledge step up into the chairman's role and Paul Benson has accepted that position which is great for the company. And we've reinforced, I think, the skillset within the company as well with Mick McMullen coming and joining the Board. So their focus is fully -- we've got four exciting projects basically the ramp-up in Didipio which as I said, we're going to try and - looking at the lights it's a lot of activity is happening. And at the moment the surface if you look at that -- it is quite smooth. But we will -- once we open that we'll be trying everything at it. We've got the exciting sort of markup underground and ramping that up the GPUG ramping that up and the Haile work that we're doing. And it's a good time for us to sort of sit back and reflect certainly with the three new Board members to sit back and reflect on the performance. It hasn't been -- we have improved, but it hasn't have been where we want to be. And so this is a good opportunity both with the two new Board members as well as David coming on board to actually really have a good look at how we're working out what the best way is moving forward. So really excited and we have some enormous potential coming through with the Waihi North project, which we're doing in lot of consultation with the communities around Waihi and the government as well. And all regulatory bodies there. So we're very excited about the path going forward. So I think the chair and the Board and the management group will be very busy kicking the lights out and really, really pushing the business back into that -- into the world-class path that we want to with the assets that we have. And yes, that will hopefully get affected in the share price as we move forward as well. We've had three consecutive good quarters. And we just want to build on that now with Didipio coming back online.
John Tumazos: Thank you. So to summarize, you've got two or three years of work to get the output up to 650,000 ounces or so. And it's not the right time to sell-out, even though you have these M&A guys on your Board that have sold their other companies.
Michael Holmes: That's a very good summing, John. Thank you.
John Tumazos: Thank you, thank you. Thanks for putting up with my question.
Operator: Your next question comes from Farooq Hamed from Raymond James. Please go ahead.
Farooq Hamed: Hi. Good morning and good evening everyone. And thanks for taking my question. I guess my question is somewhat related to the previous series of questions there. It's more related to the new FTAA agreement at Didipio. I know that as part of the new agreement there was some requirement that shares of the subsidiary I believe, up to 10% of shares of the subsidiary be made available on the local exchange. I'm just wondering if there are any other restrictions or constraints that are included in the new FTAA agreement, related to Oceana's ability to potentially sell the operation down the road to a foreign entity.
Michael Holmes: Yes. Thanks Farooq. Look, the FTAA renewal I think excitingly is a win-win for both ourselves and the government. The 10% within three years is really to demonstrate the local -- ability for local ownership. And the other conditions are really around additional community support from the broader regulated community support which is the SDNP which really looks at the local band and the surrounded band. So the additional support that has been put in there is more of a regional support. The potential sale of the doré to the Philippine National Bank is also localizing sort of the product and we have the doré that can be sold. So that was the other thing. I mean just sort of moving the sort of the corporate address to the provincial area. So they're really the only terms with regards to the renewal as well as a bit of the government sharing the procedures with regards to the net of returns. But there is no real impediment. So it's more just sort of along the structure with some additional benefits for the government and the locals, but predominantly the 6% to 4% sitting the same terms of addition. So I don't see any further impediments Farooq. If that was the case, I mean we've got the 25-year agreement now. For us it's getting up there and delivering -- it is a significant cash generator for the business. So -- and it's got a really proud dedicated workforce there that is world class operation. And that's what will bring back to that, oil class operations within our stable.
Farooq Hamed: Okay. Thanks for that. And then, maybe just a follow-up question. On the concentrate inventory that you have on pipe now that will start to be sold in Q3 and Q4. Could you give us a rough breakdown of kind of how much you see being sold in Q3 versus how much in Q4?
Michael Holmes: Well, look, it's hard to discern that, at this point in time. It's sort of -- you'll get the -- the components sit together. So it just depends on the ability to truck. So we probably -- we can sell it in parcels to traffic, but the trucking will start towards the end of quarter three. So the majority of the sales will probably come through and be recognized in quarter four.
Farooq Hamed: Okay. That's very helpful. Thanks. That's it for me.
Operator: There are no further questions at this time. I'll now turn it back to Allysa.
Allysa Howell: Thank you, Operator. We do have one question submitted to the webcast for our management team. The question is, the current shares owned by the Board and management is low. Can we expect now the earnings is over for the Board and management to show their commitment through buying shares?
Michael Holmes: Thanks, Allysa. I'm heavily committed to the OceanaGold share portfolio myself. And I believe this is a perfect opportunity, once we're at a back out for the rest of the team and the Board to consider that option. So it's up to each individual member. They don't believe it's -- it's obviously some great opportunities there, yes.
Allysa Howell: Thank you, Michael. We have no further questions. So with that I will conclude our webcast and conference call. A replay will be available on our website later today. And on behalf of Michael Scott and the rest of the team, thank you for joining us.
Michael Holmes: Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And ask that you please disconnect your lines.